Operator: Thank you for standing by, and welcome to the Northern Star March 2025 Quarterly Results Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Mr. Stuart Tonkin, Managing Director and CEO. Please go ahead.
Stuart Tonkin: Good morning, and thank you for joining us today. With me on the call is Chief Financial Officer, Ryan Gurner; and Chief Operating Officer, Simon Jessop. To start, we are very pleased that De Gray shareholders voted overwhelmingly in favor of the scheme of arrangement, and we look forward to welcoming their team and their shareholders into Northern Star. I'd also like to take this opportunity to say thank you to all our employees and business partners who consistently deliver a strong performance, enabling both organic growth and inorganic opportunities like the De Gray acquisition. With gold price exceeding AUD 5,000 an ounce, it is an outstanding time to be producing and discovering gold in the stable, low-risk jurisdictions of Western Australia and Alaska. Against this buoyant market backdrop, we generated strong net mine cash flow of $295 million in the March quarter. And pleasingly, there was positive contributions from all production centers despite operational challenges at our biggest asset, KCGM. Our balance sheet remains in a net cash position, and our hedge book continues to wind down as we deliver to the set schedule. In the March quarter, gold sold totaled 385,000 ounces in an all-in sustaining cost of AUD 2,246 per ounce. Mining of the high-grade open pit ore at KCGM was delayed because of low productivity in the Golden Pike North area, but I'd like to emphasize that the impact to the ounces is a delay only. As we look ahead in the June quarter, the high-grade ore is now accessible with mining efficiency on track to lift significantly. And more broadly, at KCGM, we remain impressed with the progress we are making in this multi-decade asset. The foundations are established, and we are commencing a very exciting period, but we are poised to generate positive step change in free cash flow generation from KCGM. As a result of recent operational challenges at KCGM, we have revised our FY '25 group production guidance to 1.63 million to 1.66 million ounces. Partially offsetting KCGM impact, we have increased guidance of Pogo as the mine continues to deliver consistently strong performance. Turning to the FY '25 all-in sustaining cost guidance. We have increased the range to AUD 2,100 to AUD 2,200 an ounce, as a result of delayed access to the Golden Pike North. Some unplanned maintenance costs at Yandal and also the higher royalties from the elevated gold process. Detailed guidance information is provided on Page three of the quarterly report. Continuing at KCGM mill upgrade, our project team remains very busy, and I'm pleased with the progress of the KCGM mill expansion to date. There have been significant activity during the quarter, as observed by all the structural installation of the major plant components on site. The project remains on track, and FY '25 capital expenditure guidance of $500 million to $530 million remains unchanged. I'd now like to hand over to Simon Jessop, our Chief Operating Officer, to discuss our operational highlights.
Simon Jessop: Thank you, Stu. The Kalgoorlie production center, which includes KCGM, Carosue Dam and Kalgoorlie operations, we sold 197,000 ounces of gold and Australian all-in sustaining costs of $2,139 an ounce. This production delivered a mine operating cash flow of $332 million. The region also spent $262 million on significant growth capital projects. This included $121 million on the KCGM mill expansion, $37 million on KCGM open pit mine development, and $41 million on KCGM underground mine development. At KCGM open pit material movement was 15.3 million tonnes, with mining efficiencies being impacted by a slow productivity while destacking the eastern side of Golden Pike North. Buying efficiencies have since improved, and we are confident mining volumes will increase to 20 million tonnes to 22.5 million tonnes per quarter from the June quarter. All mine from the open pit saw the beginning of a step change in ore volumes, with 2.2 million tonnes mined and 84,000 ounces in the quarter, a 90% increase in ore, and 100% increase in ounces compared to the H1 quarterly average. We look forward to increased ore and total material movements from KCGM as the efficiencies and opportunities return to KCGM's open pit. Underground mining volumes at KCGM were 4% higher quarter-on-quarter, and 29% higher year-on-year. KCGM's underground operations increased development to a new record of 7.4 kilometers for the quarter. The development meters will continue to increase as we begin to open up more of the FIMISTON underground and Mt Charlotte ore bodies. A new KCGM portal will be developed in the dry stale area during the June quarter, which will be 400 meters below the service. This platform will commence the journey of delineating the many mineralized systems at depth and is very exciting for KCGM's long-term growth. At Carosue Dam, mined ounces were consistent quarter-on-quarter at 65,000. While ounces sold were lower due to a smaller contribution from the underground bonds, which will reverse in the June quarter. The Kalgoorlie operations, underground mines and mill delivered to plan with a 15% reduction in all-in sustaining costs to $1,892 an ounce, and a 10% reduction in all-in costs over the quarter. Processing volumes at KCGM were lower due to its planned major shutdown and lower availability and utilization over the quarter impacting gold sales. A higher head grade for Q4 is expected as ore volumes from the open pit and underground sources all increase. The KCGM mill expansion project is 46% complete at quarter end, on time and within budget. We remain very pleased with the on-ground construction activities as the project transitions from concreting into structural and mechanical installation. Total engineering progress for Stage 1 is at 89%, while all design reviews are now complete. The concrete port is 65% complete with an impressive 19,000 cubes poured to date. At our Yandal production center, including Jundee and Thunderbox, we sold 120,000 ounces of gold at an Australian all-in sustaining cost of $2,398 an ounce. This production delivered a mine operating cash flow of $210 million, while we spent $91 million on growth capital projects. At our Jundee operation, development advance increased to 7.9 kilometers, with over 3.7 kilometers in development drill platforms completed year-to-date. Lower mine grade was from the Griffin underground development all commencing with milling grades forecast to remain at similar levels in the June quarter. Griffin development continued to ramp up over the quarter as a future new ore source while processing was again on plan. The Thunderbox operation mined 64,000 ounces for the quarter. The one underground mine continued to ramp up ahead of plan with 1,552 meters developed with one jumbo, averaging 517 meters per month. In the open pits, the Otto Bore mine was completed at the start of the quarter, while the Bannockburn open pit commenced mid-quarter as an important long-term fee. At the Thunderbox process plant, we milled 1.43 million tonnes and sold 56,000 ounces of gold. The mill throughput averaged a new quarterly record of 839 tonnes per hour, 12% above nameplate. A major shutdown was completed within the quarter. For our Pogo operation, we sold 68,000 ounces of gold at an Australian all-in sustaining cost of $2,292 an ounce. This production delivered a mine operating cash flow of $126 million. During the quarter, I visited Pogo for my second time, and met with the team to understand the current operational status and their opportunities. I was very impressed with the quality of the work the Pogo team is undertaking while also seeing significant opportunity for growth at this asset in time to come. Development lifted 10% quarter-on-quarter to an average of 1,500 meters per month, while the operation is now mine constrained with milling on-demand. I would now like to pass over to Ryan, our Chief Financial Officer, to discuss the financials.
Ryan Gurner: Thanks, Simon. Good morning, all. Northern Star remains in a great financial position. Our balance sheet remains strong with net cash of $181 million at 31 March. Figure nine on Page 10 sets out the company's cash bullion and investment movements for the quarter with key elements being the company generating $846 million of operating cash flow, a 22% lift on the prior quarter. After deducting capital of $529 million, relating to the KCGM expansion, plant and equipment and mine development, $58 million of exploration and lease payments, quarterly free cash generation was $201 million. In relation to our FY '25 growth capital projects, the KCGM expansion project remains on track with spend of $121 million during the quarter. Activity included progress of engineering design work, construction, concrete ports and steel erection, all major equipment items have now been delivered to site, and forecast capital expenditure for the year remains unchanged at $500 million to $530 million. Accelerated activity across the Australian portfolio has driven our FY '25 forecast growth capital expenditure, excluding the mill expansion, higher to a range of $950 million to $1.1 billion. This includes at Yandal, development advance ahead of plan at Wonder underground and Griffin, as well as higher material movement at Orelia whilst in development. And the KCGM development advance ahead of plan at Mt Charlotte, additional costs associated with finishing the east wall remediation works, and greater activity in the FIMISTON South cutback due to delayed access to Golden Pike North which has also driven some efficiencies and higher unit costs. Today, we have flagged that our exploration expenditure will be higher for the full year from the previously guided $180 million to $230 million. With additional funds allocated to further advance underground drill platforms across KCGM, Pogo and Jundee. This investment will pave the way for enhanced drilling programs across those assets in FY '26 and FY '27. On other financial matters, year-to-date depreciation and amortization of $803 per ounce is at the midpoint of the guided range and is expected to remain within the range for the full year. For the quarter, noncash inventory charges for the group are a credit of $44 million, primarily from the increase in stockpiles at TBO, CDO and KCGM. 8.5 million Northern Star shares were bought back and canceled during the quarter -- sorry, that's $8.5 million, apologies, bought back and canceled during the quarter and the company is 89% through the $300 million program. As previously highlighted, the company has now begun paying corporate tax on its Australian operations. The current estimate for Q4, which will depend on gold price, is between $60 million to $80 million for the Australian operations, and USD 30 million to USD 40 million for Pogo. Also a reminder that we will pay interest on the notes in Q4, which will amount to USD 18 million. The company's committed hedge position at 31 March is set out on Table five, Page 10. During the quarter, the company delivered 135,000 ounces into contracts and did not add any further commitments. 70% of the hedge commitments align to the build and early commissioning phase of the KCGM plant expansion. In relation to the recent impulse of tariffs on goods imported to the U.S., we continue to monitor and assess the impact to our Pogo operations, including country of origin assessments for the operations direct and indirect supply chain. And finally, in relation to De Grey, the consideration value paid will be prescribed to the assets acquired, which is expected to be tax deductible from the implementation date. Northern Star may also be eligible to consolidate De Gray's tax losses which will be confirmed post implementation. Current estimates of the landholder duty obligation from the transaction is in the range of $200 million to $300 million, which is expected to be payable within 12 to 18 months. And as the transaction is likely to be an asset acquisition for accounting, transaction costs will be capitalized into the asset value as opposed to expense in the income statement. I'll now hand pass -- I'll now pass back to Darcy for the Q&A. Thank you.
Operator: Thank you. [Operator Instructions] Your first question today comes from Daniel Morgan from Barrenjoey. Please go ahead.
Daniel Morgan: Hi Stu and Tim, first question is just about the, I guess, the operations at the Super Pit and the delayed access in Golden Park. Can you just describe how far -- like is this just delay on the business plan that was articulated a couple of years ago, and we should just be moving that business plan to the right? Or does some of these productivity issues been what you thought two years ago and how much you could get out of Golden Park, you can say, FY '26 and beyond? Like you have to slow down and be more selective mining? I'm just trying to get a feel for how far into the future these issues translate?
Stuart Tonkin: Yes. Thanks, Dan. It's an important point, I guess. You're right in saying that 5-year strategic outlook was delivered in July 2021, right? So we're at the tail end of that, for that two-million-ounce target. And it's not about if we get it two million, it's when we get to two million as we then add the mill expansion and then integrate Hemi into the overall outlook over future years. So our attitude is, no, the gold has not moved for three billion years. It is still there. It's the rate at which we're extracting it. We certainly have experienced some of that destocking of the multiple work areas and the congestion with the fleet at the bottom of the pit floor, which we're overcoming. So it's really about now the efficiency coming back, the productivity coming back and those tonnage rates basically filling the mill with the primary ore from the pit floor as opposed to set off with the stockpile material. So it's against where we've maybe been aggressive on everything going perfectly well, and Simon can talk about the confidence of the outlook. But it's really just about the rate at which we're mining at the bottom, having that east wall remediated and that waste removed from above us.
Simon Jessop: Yes. And just to add to that, Daniel, really pleased with where we are positioned. So late in the quarter, we finished the difficult mining of the de-stack. And now we're back to just normal efficient benches mining down on the east side of the pit. So it is purely a slight delay to the ounces. It's no change on the future outlook. The pleasing thing is we're past the low productivity efficiency of mining big rocks in the de-stack area. That's all finished now, and we're just de-stacking with normal benches. So best -- we're in the best shape we've been in that part of the pit.
Daniel Morgan: I know plans are always theoretical and they come up against hard one experience. Just wondering if given the time you've had in this with the physical experience of Golden Park and mining the Super Pit, do you have the right enough number of equipment and the right resourcing to achieve your outcomes? Or do you have to revisit how many trucks you need, et cetera?
Simon Jessop: Yes, Daniel, I think in the commentary, I talk about now we're past the low efficiency mining in that de-stack area in particular. We will revert to that 20 million tonnes to 22.5 million tonnes a quarter from this quarter, and we've started this quarter extremely well in terms of total material movement. So now we're past that difficult part, which is behind us. We're seeing all the productivities lift. The trucking hour has lift, the digging efficiencies lift. So very, very confident going forward.
Daniel Morgan: And just last question. I apologize, I mean everyone on this call has got a lot of results today, and I may have missed this, but I think you alluded to your lifting your exploration spending today and you're lifting some of your capital budgeting today in relation to, I think, some success you've had on the exploration piece. Can you just expand on that piece?
Stuart Tonkin: Yes. Thanks, Dan. So these largely are leading indicators in development for drill platforms to feed into next year's drilling budget as well. So we had $180 million -- we sort of lift that beyond $200 million, largely driven by the drill platforms across Pogo heading to the north, those North veins across Goodpaster, KCGM, including a new portal to be cut down in the West Wall Drysdale and equally over at Yandal big drill platforms across Yandal at Jundee, et cetera, so -- and some of the new underground. So it's really the lead indicator, the drilling -- the actual drill meters and drill call, you'll see reflected in our reporting of our resources and our reserves coming out in a week and then this is drill platforms that fades into that as well.
Operator: Your next question comes from Kate McCutcheon from Citi. Please go ahead.
Kate McCutcheon: Hi. Morning Stu and Ryan. So just the guidance revisions, it is material, $400 to $450 an ounce cost increase. How much of that are you putting down to royalties? How much is Yandal and high end maintenance? And how do we think about that KCGM head grade hitting the mill into Q4?
Ryan Gurner: Yes. Thanks, Kate. I'll start with the cost on the -- question on the cost. Yes. So royalties -- well, royalties and foreign exchange is likely to be $25 to $30 an ounce when we cut the full year numbers is where we think it will land. Obviously, this quarter, gold price is much higher than it was the prior quarter. So I just did the outlook there. It's probably about $25 an ounce currently for the year-to-date cost base is that. So that will probably lift with the gold price. And then the unplanned maintenance across the year is going to be -- it's currently probably $30 an ounce. We don't foresee that happening we don't foresee additional cost this quarter at Yandal around maintenance for the processing facilities. So it will probably likely land about $25 an ounce. So in combination of those two items, they're about $50 an ounce in combination of those two year-to-date.
Kate McCutcheon: And the KCGM head grade for Q4?
Simon Jessop: Yes. Kate, Simon here. Just in terms of the head grade, you can see the -- for the quarter, we mined 84,000 ounces from the open pit at a head grade of around about 1.3. So that's similar to the head grade that we're feeding into the mill last quarter. What you'll see in the next quarter is the underground contribution start to kick up as FIMISTON underground gets into its stoping, as well as a much higher contribution from the open pit across -- not just Golden Pipe, but OVH as well. So you'll see the head grade for the mill lift, probably in a range of 0.3 to 0.5 gram per tonne in quarter 4.
Kate McCutcheon: Yes, because I think we -- you have previously said the underground will be running at three million tonnes to 3.5 million tonnes by the end of the FY.
Simon Jessop: Yes, the undergrounds are building that development piece is that lead indicator. So we're still seeing last two quarters, 7.2 kilometers, 7.4 kilometers. And then the stoping is turning on in terms of FIMISTON as well as a lift out of some stoping areas at Mt Charlotte. So it's not a straight line. It is lumpy with the production coming in. But really happy with the way we're setting up union consoles, Union Jack, Golden Pike Stockworks which is all three mines within FIMISTON itself. So the production fronts are building, and we're developing a lot of areas with a lot of production drilling. So stoping has commenced for FIMISTON, and it will now get a real kick and lift.
Kate McCutcheon: And then a question for Ryan. So you noted the tax benefits from incorporating De Grey, but no D&A uplift for the group until Hemi delivers first gold. The latter part makes sense but not so much the former. Can you just talk me through the delta or how we think about the tax impact for the next five years that you've called out in the results?
Ryan Gurner: Yes. Sure, Kate. Yes, so you're right. So D&A won't start until we start pouring gold bars, so you're right there. Yes, tax is a funny one, but a good one, I guess, for the business. So I guess, the acquisition value is what we pay. So we'll be issuing shares at a price on implementation date. So that's the value that's marked. And then some things like cash that De Grey hold relevant for that valuation piece on the tax base. So it's going to be a significant value. But from a tax perspective, we can start I guess, depreciating or getting a taxable -- a reduction in our taxable income from day one. That's the advice, and that's what we'll be doing. Now, of course, tax lags, so it's not going to -- you won't see it day one. It will be more so later when we do our tax return that you'll start to see that catch up there.
Kate McCutcheon: And is there anything you can say on the magnitude?
Ryan Gurner: Well, it will be accelerated. So I guess it's going to be something like between $5 billion and $5.5 billion and it will be deductible. So 50% of it will be deductible over five years. So tax you can accelerate. So that gives you some indication. It won't be linear, but it will be something like that. Remembering that we've still got to do all the work and the final values have got to be set. But that's the thematic.
Operator: Thank you. Your next question comes from Hugo Nicolaci from Goldman Sachs. Please go ahead. [Audio gap] Thank you. Your next question comes from Levi Spry from UBS.
Levi Spry: Yes. Good morning, Shu and team. Thanks for your time. Yes, busy day. So details might be a bit light, but just following on from Dan and Kate there. Great question. I'm going to explore that going to sort of next year. And understanding that this is categorically just a quarter delay to what we were thinking about before, but all of the destocking has finished. The underground ramp-up is on track and that overall head grade still from first of July. So can you just expand, Simon, on that grade piece into start of this quarter, I guess?
Stuart Tonkin: Yes. Thanks, Levi. Look, the destocking, it's not finished where we are, but we're seeing signs now in this quarter of the improvement of those productivities in Golden Pike. So we're showing the kind of the turning point of the performance coming out and the grade coming out. But the backstop is always the stockpile grade going in and as the underground volumes through development or into stoping contributes. So that quarterly delay is really what we're talking about today is the FY '25 delivery of guidance. We are not talking about FY '26. But these things are -- they're all on a pathway to add at that plus the mill expansion plus Hemi in time. So yes, I appreciate everyone wants the rest of their models filled out, but we're here just to really recap on the events of the quarter and the outlook for this quarter. And in normal course, we'll be publishing in the July, the June quarterly plus the outlook for FY '26. And look we're very excited with the progress across all the assets, albeit there's some slippage on weeks and months. We're very happy with what we're seeing in regard to the outlook.
Levi Spry: Okay. And so just expanding on the degrade piece then. Can you just talk us through the time lines there in terms of your plans for integration and optimization of that into the portfolio, what that could look like after May fifth?
Stuart Tonkin: Yes. So completion with that delisted now, the completions is for the fifth of May. So I guess, a week away. The integration, obviously, with the team occurs rapidly. But the -- it's still dependent on finally on the approvals. So the regulatory approvals that have been articulated by De Grey. So that's still, I guess, the point. But all the other works on the mill, EPC, PCM decisions and the mining contracts and all of the long lead items and the progressing sort of stakeholder engagement, all those things that had been continuing in parallel with the De Grey team for a number of months now. So we will basically get map out what that looks like. But essentially, the CapEx will need to be reviewed, assessed, dusted off to make sure it's relevant. But our learnings from KCGM has impressed us on ability to take learnings from FIMISTON mill expansion into De Grey build as well. So I'm pretty excited about those opportunities that we can bring to that. And it's likely the second half of this calendar year, we'll be giving more color on the time line for heavy development.
Operator: Your next question comes from Andrew Bowler from Macquarie. Please go ahead.
Andrew Bowler: Gooday Stu, Ryan and Simon. Maybe one for you, Simon, just expanding on Kate's question about the KCGM and underground. I think Kate sort of mentioned that previous commentary was rough exit rate of three million tonnes per annum this year and then sort of grinding its way up by 0.5 million tonnes per annum per year over the next couple of years. Just wondering if you could just give us a fresh update on that sort of expected growth rate of 0.5 million tonne annum that you've commented on previously. Is that still valid? Or is it likely to be a little bit shy of that over the next couple of years?
Simon Jessop: Yes, Andrew, I think, look, as we normally do it around diggers and that quarter one will provide a good KCGM update as to where the underground is at the open pit and all of the assets. But it is very lumpy, as you can imagine, trying to develop from FIMISTON underground. There's three mines within one, we call FIMISTON. But there is genuinely three mines within that particular mine. The thing we are excited about is the development of all of those levels really opening up, as well as the bypass link we're doing down to Chris, which I've mentioned in the Diggers presentation last year. Chris is right near the surface, and we're nearly -- we'll be getting into that with higher tonnes, big productive areas early into next year. So the building blocks are all happening. We're expanding very, very rapidly at that particular area. Things like Drysdale that will -- is new. New to the, I suppose, news flow. That is 400 meters below the surface, and we get into the West Wall down below 400 meters there and then really can accelerate some huge opportunities there. So pleased to provide an update on the underground really in that Q1, sort of July or August sort of area. But in terms of the lead indicators, very, very happy with the underground progress.
Andrew Bowler: All right. And maybe just one for Ryan. I mean, obviously, you talked about the De Grey assets coming on the balance sheet and being able to reduce your taxable income with those day 1. Just so I can understand a little bit better as a non-accountant. So it sounds like you're saying on a dollar per ounce basis, you will see a lift next year in depreciation, not just a $1 million lift as well. It will be actually over the ounces you're producing from the other assets, you'll see an increase in D&A next year. Is that correct?
Ryan Gurner: No, Andrew, the opposite. So we will be getting a tax shield from day 1, which we'll see in cash, cash flow. But from a D&A P&L perspective, no. So we won't have any depreciation until we start pouring gold bars at Hemi. So for the -- in the future. So the D&A next year for the business won't be really any different to what it is now. So it's only when we start pulling gold bars that you'll see our depreciation and amortization step up or change. It's about tax cash now that we get the benefit from.
Andrew Bowler: Copy that. So it's more the built-up losses that have happened within De Grey already more so than obviously depreciating asset?
Ryan Gurner: Yes.
Operator: Your next question comes from Al Harvey from JPMorgan. Please go ahead.
Alistair Harvey: Yes, morning team. I suppose you have mentioned that you are coming up to at the end of your 5-year time line for the FY '26 target. I suppose I just wanted to get a sense on when we might get an update on the next 5-year outlook and how things might have changed given high gold price environment, how that's changing, how you're thinking about potential further growth? Maybe just an overview on that would be helpful.
Stuart Tonkin: Yes. Thanks, Al. And we'll -- yes, today is not the day to do that, and it's a very busy day for reporting. But as you know, as sort of July guidance outlook for '26 and around Diggers where we present the outlook is probably a good timing to give a bit more flavor. But I would say the 2021 5-year outlook, what has changed. We've seen great stabilization performance improvement from Pogo. We've seen delivery of expansion and continuity across Yandal. The Kal ops have been firing at all cylinders as does CDO with cash flow generation and then it's really KCGM around that East Wall remediation which was an unproven plan when we committed to it, but we're a long way through it. So it's really on top of that. The mill expansion, you've seen being approved and we're over halfway through it, as well as now an inorganic opportunity with the addition of Hemi to the portfolio. So a bit is changed, but fundamentally, it's very positive change, and the gold price has lifted AUD 3,000 an ounce in that same period. So we hadn't changed something or hadn't improved stuff. We'd probably be mad. So I think it's just a much stronger outlook, and we will certainly be looking at the next sort of three years, fundamentally, when all those catalysts come back in and really look at that active portfolio management and really looking at the best highest margin ounces. So a lot of the decisions we've made in previous years are still correct and right under the current gold price environment, and we're executing and delivering on those. And we were aware that they were multiyear commitments and we're still charging through the actions to stabilize and make that sustainable because we're looking at a multi-decade outlook. So yes, we're pretty excited, and you'll get an update this calendar year on our outlook for the next few years.
Operator: [Operator Instructions] Your next question comes from Matthew Frydman from MST Financial. Please go ahead.
Matthew Frydman: Sure. Thanks. Morning, Stu and team. Can I ask on Hemi and you've obviously highlighted that the next key step is more around state and federal permitting. Can you give us a bit of a, I guess, a more in-depth update on how that's tracking from your perspective? I'm particularly interested in how that process goes, particularly through the state and federal election periods, potentially some movements in the various bureaucracies there? So wondering how that is kind of playing out and how you expect that to potentially play out particularly through the federal election period? And then secondly, I guess, in terms of your internal permitting team presumably taking over some of that work that the De Grey team has been conducted. Obviously, you've got an external driver, which is the state and federal ministries, but there's also an internal driver there in terms of you guys getting up to speed with all of that work. And as I said, potentially taking over some of that responsibility in liaising with those departments. So it does seem like the time lines continue to push out a little bit on this process over time. So is there a time line that you're currently hopeful to working towards in terms of final approvals? When do you expect to get a decision around that?
Stuart Tonkin: Yes. Thanks, Matt. And I think De Grey had been articulating what the time line was, and we're not indifferent to what that is and what was published in the scheme documents. So we were perhaps a bit more conservative and had a bit of a buffer, which doesn't -- fundamentally doesn't change returns outlook or timing. And in fact, the neatness of teams moving from Fim into Hemi is very strong. Now we're not -- until completion and whether we're there, we'll be engaging with all the stakeholders. We've stayed very close to decisions to date. But likely in the next quarter, we'll have feedback from regulators on -- after doing site visits and after doing reviews and stakeholder engagement. So this calendar year, we'll be getting updates and passing that through to the market as we learn those things, and fundamentally, we don't see any federal or state obviously stability of the political landscape changing this. We have a very good experience through the Section 38 at KCGM recently, with that experience with regulators. So we're very familiar with the process, the engagement with those regulators throughout the Hemi approval process as well. So all considered, all understood and nothing is different to what we expected, I guess, when we announced this deal late last calendar year.
Matthew Frydman: Is there any sort of -- I don't want to say a drop dead date, but any sort of timing that you're conscious of in terms of making long lead item decisions or design decisions around the project whereby you'd really need to have some kind of firmness around approvals come in before you go down that path? Or are you pretty flexible with the timing in terms of some of those design decisions?
Stuart Tonkin: Yes. So I think importantly, this was all done well before announcement and the due diligence period, we completed good reviews of all of those, the flow sheet designs, the comfort with the mining volumes and the plans, et cetera. Now you don't want to change things because you're resetting clocks on approvals, right. So fundamentally, it is what is being put in. We're happy with that, and it is going through the approvals process. So leaving technical [indiscernible] looking at stuff, they'll continue to tamper with it. We've definitely frozen and understood that it's a good plan, and is what's been approved, and we're okay to follow that and executed on that time frame once approved. But some of those time lines, I'd say, out of our control. They're understood and they're predictable in Australia, which is why we love Tier 1 jurisdictions and understanding of that regulation, but we can't speed it up. And I guess we're going through the due process and doing it prudently and therefore, we're not going to recut and rechange and modify because it will add time to resetting some of those online approvals, which we won't do. So there's a very strong understood business case that De Grey have articulated. There's some refining and optimization as you go, but it's really on the margins as opposed to wholesale changes to that DFS plant.
Matthew Frydman: Yes, I understand. And maybe just finally, again, coming back to the kind of integration piece. Can you remind us, I guess, what the vision or the plan is in terms of how much of that work you internalize back on to Northern Star teams? Or how many kind of teams or members of the De Grey team will continue to sort of conduct the work that they were doing previously? I guess how do you see the division of responsibilities in terms of progressing the project forward?
Stuart Tonkin: Yes, we're well-rehearsed in integrating assets along the journey, as you can sort of see by our history. There's roughly 120-odd De Grey people that have been building up this asset over the time. They come in as a Hemi project under Northern Star. There's no island or isolation or silo there, and they're enhanced by our corporate oversight team, the shared services that are here. And I'll remind people with our 350-plus geologists, with our 250-plus mining engineers. We have more technical prowess than any contracting external house in-house. We have that skill and that's what would bring forth De Grey shareholders to an asset like this to derisk it as well as a net cash balance sheet, fully funding the build of this plus the outlook of dividend paying day 1. All these things are the merit as to why we got a 99.6% approval on the votes that were put on this scheme of arrangement. So I think it's our job now to demonstrate why it's derisked and how we can move this project forward on a lower risk basis. And that's because of our bench strength. We've got nearly 7,000 employees with our contracting partners. De Grey has 120. So I think it shows that we're going to be able to help assist this project better than anyone.
Operator: [Operator Instructions] Your next question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: Apologies for technical issues earlier, and if some of these points have been subsequently covered. But just picking up on some of the earlier questions. You've obviously highlighted some of the near-term challenges at KCGM and the accelerated growth spend ahead of plan in some other areas. I guess looking forward, if we take your revised guidance midpoint into the fourth quarter, it's implying a gold production run rate of about 1.8 million ounces. But based on some of the comments today and operational improvements, it sounds like that should probably be trending upwards. I guess marrying that up with some of the comments you've previously made, Stu, around having levers across the portfolio to deliver that two million-ounce target. How should we interpret those 4Q rates into FY '26 and then relative to that two million-ounce target going forward?
Stuart Tonkin: Yes. Thanks, Hugo. I think earlier in the call, I reiterated, we're not providing FY '26 guidance today. We're updating on the March quarter. And as you've just done the math, quarter 4 shows a 440, 450 kind of quarter, and I want therefore, obviously, 1.8 million ounce per annum run rate. But they are all good signs and good signals as to what the outlook can be. And I said, it's not necessarily if it's when the overall 500 a quarter plus, plus with the mill expansion and Hemi's addition in future years. These are just checkpoints because it's not a straight line of growth. So yes, we're not providing '26 today. In due course of normal time and we'll be assessing that and likely the July announcement with the June quarter and FY '26 guidance with costs will come at that point.
Hugo Nicolaci: Fair enough. And then just picking up on the comment you made a little bit earlier around active portfolio management and the current gold price environment. Are there any assets in the current portfolio that you think maybe don't have the same medium term opportunities as others in the portfolio or maybe aren't being appropriately valued in the broader portfolio context?
Stuart Tonkin: Yes, a good point. We probably don't think any of them are being appropriately valued at this gold price. But the -- they are all contributing to our cash flow balance sheet strength and the investment we're putting back into the assets. So the recognition is really part of what we've done always, is just looking at our highest margin ounces, where our investments made and that future outlook. So it's just part of how we think around the being business first and not having to just be holders and collectors. We're certainly wanting to make it most efficient for our shareholder returns. So that will be part of the review at the back end of this year.
Hugo Nicolaci: Then just lastly, if I can, just on the reserve and resource update. Should we still expect that in the coming weeks, consistent with sort of the timing over the last few years?
Stuart Tonkin: Yes. I think I said in the coming week, but I should have said coming months, just to correct that. So we closed it at the end of March, and we're doing that assessment work presently. So yes, typically, in short order after that we'll be releasing the resource reserve. So it could be in May, is probably more like the timing could be at the back of May.
Operator: Your next question is a follow-up from Daniel Morgan from Barrenjoey. Joey, please go ahead.
Daniel Morgan: Hi, Stu, Ryan and Tim, just a question on the hedge strategy. I mean I don't want to be Harry hindsight and go back and rerun the tape on gold prices and what we could have, or should have done. But I just note that you've had two quarters now where you've allowed the hedge book to run off. Is that some recognition that the hedge strategy is perhaps not working, or dated now that you're a larger, more diversified company? I'm just wondering whether you might continue to let these hedges roll off over time and reduce your hedge book in time?
Stuart Tonkin: Yes. Thanks, Dan. We're still within policy. So it's not indifferent to our policy and the hedges were placed at the right time for the right purpose to achieve the right outcome. Things like FIMISTON fleet, the hedges that were placed at that point, equally, we're $500, $600 above the Fim decision amount. So yes, we certainly are saying and I can't in hindsight say, we're out of the money, if you plug in the spot price, or whatever number used for mark-to-market, you'll get plus $10, minus $3 is essentially what you'll end up with. But it is what it is and people understand it, and it's visible. And I think you've seen us unwind the last two quarters, not add forwards.
Daniel Morgan: And maybe just a follow-up. Separately, I mean the gold price is up quite simply bananas versus anything that we would have thought several weeks, months, or a year ago or two. Just wondering how that feeds into how you manage your business, if at all, do you let this gold price fall to the bottom line? Or do you look at the fringes of your ore bodies and things that go well, let's expand mine lives and change grade decisions over time? Just wondering how you think the gold price feeds into running your business?
Stuart Tonkin: Yes. Look, I'd say it doesn't change -- certainly doesn't change near-term decision-making. We've been set on some rails or some good long-term investment decisions under any gold price environment. They are all working to try to get our unit costs down, economy scales up, and they absolutely get enhanced to survive those decisions at a higher gold price. Albeit the high gold price as we see across the sector, drags up costs. So that's the part plus the tariff turmoil, those are the things that we have more focus and understanding of protection against than gold price. They are the things that directly hit margin and bottom line, and that's probably where more of the attention books at and cut-off grades, et cetera, rather than gold price and has always been the case. So yes, nothing -- no one's wholesale changing mine plans because of where the price is at. We're certainly just looking and observing as we go.
Operator: There are no further questions at this time. I'll now hand the conference back to Mr. Tonkin for any closing remarks.
Stuart Tonkin: Look, thanks all for joining us on the call. I appreciate it, it is a very busy reporting day. And we'll make ourselves available over the coming days to address any of the outstanding matters. So thanks very much for joining us on the call. We look forward to updating you soon, and have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.